Operator: Good morning, ladies and gentlemen. Welcome to the H1 Financial Statement Conference Call. My name is Francine. The call is called Operator. I would like to remind you that all participants will be in a listen-only mode and that the conference is being recorded. The presentation will be followed by a question-and-answer session. [Operator Instructions] At this time, it is my pleasure to hand over to Jacob Aarup-Andersen, CEO. Please, go ahead, sir.
Jacob Aarup-Andersen: Thank you very much, Operator, and good morning, everybody. Welcome to Carlsberg’s half year 2024 conference call. As said, my name is Jacob Aarup-Andersen. I’m the Group CEO of Carlsberg. I have with me our CFO, Ulrica Fearn; and Vice President, Investor Relations, Peter Kondrup. Let me begin by summarizing the key headlines for this call. First of all, we delivered continued volume growth despite poor weather in Q2 and continued weak consumer sentiment. We reported solid organic operating growth despite a significant increase in sales and marketing investments. And as you will have seen, we’ve adjusted our full year earnings outlook upwards. We did all this while taking some major strategic steps that will support the future of Carlsberg. I’ll go through the key headlines for the Group and the regions, and then Ulrica will take over and explain the financials and the full year outlook. So let’s move to Slide #3. We saw a total volume growth of 1.4% and that’s driven by all growth categories. Revenue increased by 3.9%, supported by continued solid revenue and per hectoliter improvement of 2%, which was thanks to our premium brands and price increases. Thanks to the strategic and financial strength of the business, we have the capacity to invest for the future. Consequently, we continued to increase our sales and marketing investments significantly across all three regions. Despite increasing marketing investments by almost 20%, we delivered solid organic operating profit growth of 5%. We returned DKK5.5 billion to our shareholders and that’s DKK0.5 billion more than in H1 last year and that’s driven by higher share buybacks. We stopped the second quarter share buyback on July the 8th, following the recommended offer on Britvic. We continue to be very focused on capturing the short-term opportunities, managing the current challenges in our market and delivering on our short-term commitments. But we’re also taking major steps this year to support the future of Carlsberg. In February, we launched our refreshed strategy with higher top and bottomline ambitions. Despite the weather and the current consumer sentiment in some Asian markets, we’re off to a good start executing this strategy, which, as we said in February, includes a significant step up in investments behind the long-term growth accelerators. In July, we announced the recommended offer for Britvic. We also announced the acquisition of the remaining 40% of Carlsberg Marston’s in the U.K. That transaction completed at the end of July. And less than two weeks ago, we were pleased to finally sign an agreement, which, when completed, will give us full control of the businesses in India and Nepal, and it’s going to allow us to accelerate investments to capture the long-term opportunities in these markets. All of these initiatives are very exciting. They will strengthen our business considerably and support us in capturing the long-term growth opportunities and delivering long-term value growth for our shareholders. Please turn to Slide 4. A few comments on the recommended offer for Britvic. We’re very excited about this potential deal. Whether you look at it from a strategic, operational and financial angle, the proposed acquisition is highly accretive to the Carlsberg Group, to our Western European region and to the U.K. business. For the Group, adding Britvic to our business will be supportive of our organic revenue growth ambition of 46%. For Western Europe, combining Britvic and our U.K. business will improve the region’s top and bottomline growth trajectory and step change cash generation. The deal will also strengthen our longstanding relationship with PepsiCo. In the U.K. specifically, we identified several operational and synergistic benefits from combining our beer portfolio with Britvic’s very strong soft drinks portfolio. The acquisition will be value-accretive for shareholders. Including cost synergies, the deal will be mid-single-digit accretive to adjusted EPS in year one and double-digit accretive in year two. In addition, the deal will be margin accretive for the Group and ROIC will exceed the WACC of 7% already in year three. The transaction is 100% debt-financed and therefore our financial leverage will, of course, increase. We’ll be very disciplined and focus on deleveraging as fast as possible, and we remain committed to maintaining investment-grade ratings. We expect net interest-bearing debt to be below our new leverage target of below 2.5 times during 2027. Thanks to the excellent management teams in both these businesses, the shared values and similar cultures in the two companies, and our longstanding track record of successfully running integrated beer and soft drinks businesses in several markets, we consider the integration risk to be low. The transaction is subject to the U.K. Takeover Code. That also means we’re restricted in our communication and we’re only allowed to share information that is available in the public filings. Those filings you can find on carlsberggroup.com. Since the announcement in July, the only piece of news is that Britvic will have its general meeting on the 27th of August. The deal is currently expected to close in Q1 2025. Please turn to Slide 5 and an update on our premium and alcohol-free brew categories. So we’re pleased to see the good progress of our key growth categories. All categories that are important for our long-term growth ambitions and are created to revenue per hectoliter, to gross profit and to margins. We saw good growth for the premium beer portfolio, which was up by 4% for the half year and 2% in Q2. Premium brands are more skewed to the on-trade, and therefore, they’re more impacted in times of bad weather, which particularly was the case in Q2 in Western Europe and in China. When we look at alcohol-free brews, they grew by 6% for the half year and 8% in Q2. The growth was supported by strong performance in Ukraine, the Middle East and Southeast Europe, and solid growth in many Western European markets. We recorded double-digit growth for the alcohol-free versions of Carlsberg, Tuborg and Garage. Several local alcohol-free brews also did very well, examples being Fix in Greece, Lvivske in Ukraine and Lübzer in Germany. So let’s move to Slide #6 and our international brands that grew well ahead of our average portfolio. Carlsberg volumes were up by 12%. We saw very strong growth for premium Carlsberg volumes. They grew by 24%, particularly due to strong performance in markets such as China, India and Ukraine. We also saw good growth for Tuborg volumes. They were up 8%, driven by strong growth in Asia and CE&I. Markets to call out here would include China, Vietnam, India, Ukraine and Serbia. 1664 Blanc saw broad-based growth across all three regions, with volume growth of 4%. We saw very good performance in markets such as Ukraine, Vietnam, Switzerland, Finland and Poland, while the brand declined in China, Denmark and some export markets. The Brooklyn brand grew by 7% in Q2 and 4% for the half year. The growth in Q2 was driven by most markets in Western Europe. Please turn to Slide #7 in Western Europe, where volume growth year-to-date May was reversed in June, when the region experienced unusually cold and wet weather, and in addition was cycling tough comes from good weather from last year. The beer volume development for the half year ended at minus 1.7%, with 3% in Q2 -- minus 3% in Q2, of course. Other beverages declined by minus -- sorry, declined by 2.4%, impacted by the loss of the Schweppes brand in Switzerland and lower volumes in Denmark. The increase in revenue per hectoliter was 3% and primarily the result of price increases. That was partly offset by country and channel mix. They later impacted by the bad weather. In addition, revenue per hectoliter in Q1 was positively impacted by the inclusion of excise duties for Kronenbourg 1664 in the U.K. There was no impact from this in Q2 and revenue per hectoliter in this quarter was up 2%, mainly due to price increases. Organic revenue growth was 1.3%, while reported growth was 2.6%, positively impacted by the Swiss, Polish and U.K. currencies. We delivered high single-digit organic revenue growth for April to May, but this was reversed in June due to the weather and revenue for Q2 declined by 1.3%. Looking at a few markets, we had positive starts of the year up until May in the Nordics, where volume growth was actually in all four markets. The weather in June reversed this positive development and volumes for the half year declined slightly. We saw good performance of our premium and alcohol-free portfolios. In France, very poor weather in Q2 impacted volumes. They were down by high single-digit percentages. We gained market share and premium, but our total market share was under pressure and that was driven by a lower level of promotional activities compared to what we observed in the market. In Poland, we saw good results for our premium and alcohol-free portfolios. Our total volumes were flat, slightly ahead of the market. Our volumes in the U.K. grew, thanks to very good performance of Carlsberg Danish Pilsner, and the first indications of 1664 Blanc, the launch we did in the beginning of the year, were positive. We’re currently facing some short-term supply chain constraints in the U.K. That’s going to impact volumes and market share over Q3, but we expect capacity to recover fully as we enter the Christmas season. Please go to Slide #8 in Asia, where our beer volumes grew by 2.5%, supported by growth in China, Laos, Vietnam and Malaysia. A minus 2.5% volume development of other beverages was mainly due to Cambodia. Revenue per hectoliter increased organically by 3% and consequently organic revenue growth was 4.7%. The positive revenue per hectoliter development was supported by solid growth for the international premium brands and price increases. In Q2, revenue per hectoliter was more muted at 1%, which was due to a negative country mix and weaker brand mix. The depreciation of the Laotian and Chinese currencies led to a reported revenue development of minus 1.2%. Operating profit in Asia grew organically by 5.3%. That was achieved despite a significant increase in marketing and sales investments. Adverse currency movements meant that reported operating profit declined by 2.5% and operating margin by 30 basis points to 24.2%. Looking at a few markets, we continued to gain market share in China. Our volumes grew by 3%, which was ahead of the market, which declined by an estimated 5% in the first half. Volume growth in the second quarter slowed down due to heavy rainfalls in Southern China and weak consumer sentiment. Our premium portfolio outperformed the core mainstream portfolio for the half year, but this was reversed in Q2, when growth for the core mainstream portfolio was ahead of premium. The bad weather and the weak consumer sentiment continued in July, and as a result, we were cautious about growth rates in the second half. They were expected to be lower than in the first half, leading to modest expectations for the full year growth in China. On the back of tough comps with double-digit growth rates in the first half last year, our volumes in Vietnam grew by low single-digit percentages. This growth was well ahead of the market, which declined by an estimated low single-digit. While consumer sentiment remains weak, we saw early signs of a stabilization of the beer market. Our volumes in Laos grew by mid-single digits. We saw growth in all categories, including beer, soft drinks and water. Inflation remained high and we therefore continued to take significant price increases. Our business in Laos has delivered strong growth for a number of years and that resulted in some capacity constraints during the peak season. We are of course addressing this challenge to avoid future out of stock situations. Slide 9 and Central and Eastern Europe and India, which we internally just refer to as CE&I. The region delivered very good results with organic growth for volumes of 4.5%, 8.8% for revenue and 14.1% for operating profit. It should be noted that the 6% volume growth in Q2 was helped by easy comes due to bad weather last year in the Southeastern part of the region. Revenue per hectoliter grew organically by 4%, both for the half year and in Q2. That’s thanks to price increases and a positive product mix. The strong organic operating profit growth was the result of volume growth, the positive revenue per hectoliter development and good cost control, that more than offset higher sales and marketing investments. The lower reported operating profit growth of 12.2% was mainly because of the depreciation of the Ukrainian currency. The operating margin improved by 60 basis points to 19.4%. Looking at our two largest volume markets in the region, our volumes in Ukraine grew organically by double-digit percentages, despite the very volatile environment. Revenue per hectoliter continued to improve, supported by a strong growth of the premium portfolio and the alcohol-free brews portfolio also grew strongly. Our volumes in India grew by low double-digit percentages, despite dry days being enforced in connection with the elections and despite challenging weather conditions impacting one of our breweries. Our national market share in India strengthened. And with that, handing it over to you, Ulrica.
Ulrica Fearn: Thank you, Jacob, and good morning everyone. Now let’s go to Slide 10 for more details on the P&L. So revenue grew organically by 3.9% and that was driven by a 2% increase in revenue per hectoliter and a volume growth of 1.4%. And revenue per hectoliter improved in all regions as a result of premium growth and price increases, and then partly offset by a negative channel and country mix. Reported revenue grew by 2.6% and the main delta from the organic growth was the adverse currency impact, which mainly related to Chinese, Laotian, Ukrainian currencies. And the small acquisition impact related to Waterloo Brewing in Canada and the Jing-A Craft Brewery in China. Cost of sales per hectoliter declined by 1%, primarily due to the country mix and efficiency improvements. The higher revenue per hectoliter and the lower cost of sales per hectoliter led to an organic growth in gross profit per hectoliter of 7%. The reported gross profit improved by 6.3% and the gross margin improved by 160 basis points to 46.3%. And as we said in the beginning of the year, we increased sales and marketing investments. Our marketing investments were up organically by almost 20%, with higher investments across all three regions. But we maintained our strict cost focus and administrative expenses increased in line with revenue. Total operating expenses increased organically by 9.6%, and mainly because of higher sales and marketing investments and higher logistics costs. And the higher logistics costs were primarily driven by salary inflation and higher transport tariffs in some markets. Operating profits grew organically by 4.7% and by 1% in reported terms. And again, the main offset in currency impacts came from China, Laos and Ukraine. The reported operating margin was down by 30 basis points to 16.3%, because of the higher sales and marketing investments. Looking at the items below operating profit, special items amounted to minus DKK139 million, mainly impacted by M&A related costs. Net financials amounted to minus DKK550 million, and excluding foreign exchange gains and losses, net financial items amounted to minus DKK452 million and this was minus DKK141 million more than in 2023, and due to higher interest rates on bonds issued in 2023 and also higher net interest bearing debt. The effective tax rate was 21.2%. Net profit for the Group ended at DKK3.7 billion. Adjusted net profit was DKK3.9 billion, which was a decline of 3.4% and due to adverse currencies and the higher net financials. Adjusted earnings per share was DKK28.6. Let’s go to Slide 11. The operating cash flow amounted to DKK3.6 billion. The reported EBITDA growth was 1.5% and that was offset by negative impacts from the change in working capital and higher CapEx. The change in total working capital was minus DKK836 million. And zooming in on trade working capital, the 12-month average trade working capital to revenue remained strong at minus 20.4%. Other working capital was, however, particularly impacted by VAT payables. CapEx amounted to minus DKK2.3 billion, compared to DKK1.8 billion in half one 2023. The higher investment level was partly explained by the new brewery in China and capacity expansion in Laos. Net interest bearing debt was DKK25.2 billion, which was DKK2.9 billion higher than year-end 2023 and the increase was mainly due to the share buybacks of DKK1.9 billion and dividends to shareholders and non-controlling interests of DKK4.5 billion. Net interest bearing debt to EBITDA was 1.65 times. Return on invested capital was 14.5% and the 70% -- 70 basis points decline year-on-year was due to currencies, acquisitions and a higher tax rate. And now to Slide 12 and our capital allocation priorities. So we’ll skip through priority one and four, as we have already given details on these, but go to the fifth priority and provide some more details on the financial impact of the acquisitions that we have announced this year. We’ve entered into a strategic partnership with two craft breweries, Mikkeller in Denmark and Brasserie du Pays Flamand in France. In both cases, we have acquired a minority stake and will sell and distribute their strong local craft brands, which will strengthen our local portfolios. And Jacob has already provided details on Britvic, so no more from that on me -- from me. The acquisition of the remaining 40% of Carlsberg’s assets, amounting to £206 million, was completed on the 31st of July. The transaction will increase net interest bearing debt and interest payments, but will reduce non-controlling interests, which were expected to be close to £100 million for 2024. Finally, we signed an agreement to acquire the remaining 33.33% of CSAPL, which is the holding company owning 100% of the business in India and 90% in Nepal. The agreement also includes an additional acquisition of 9.94% of the business in Nepal and therefore it gives us more than 99.9% ownership of this business. We expect both deals to complete in Q4 this year. The purchase price is US$744 million, and of this amount, US$537 million will be paid at completion and US$207 million retained for three years to five years. Perhaps a bit counterintuitive, but the acquisition of the 33.33% of CSAPL will not reduce non-controlling interests. And this is because of the partners put option, which meant that the Indian business has been accounted for as a fully owned subsidiary and this is in accordance with IFRS and described in the annual report. On the other hand, the accounting treatment on Nepal will change. This business has been accounted for as an associate, but upon completion of the transaction, it will be fully consolidated. Had it been in 2024, this would have added approximately 0.7 million hectoliter s in volumes and 0.5 billion in revenue. Net results will also be positively impacted as it will include 100% of the net profit in Nepal instead of currently 90%. So please go to Slide 13 and the earnings outlook for the year. Yesterday, we adjusted our outlook for organic operating profit growth for the year to 4% to 6% compared to our previous expectation of 1% to 5% growth. The adjustment was due to solid business performance year-to-date and good cost control, which compensated for the poor weather in Western Europe in June, a continued soft consumer sentiment in some of our Asian markets in half one and into Q3. Following the week June, we expect volume dynamics to improve in Western Europe in half two, and we do already see growth in July, which is also helped by easy comparables due to poor weather last year. In CE&I, we expect the good momentum to continue while we’re more cautious on Asia, and especially China, where we now expect a softer half two development due to weather in July and continued soft consumer sentiment. Included in the outlook is a significant increase in sales and marketing investment. Marketing investment to revenue for the year will increase in line with accelerated sales ambitions, although the absolute increase will be lower than expected earlier in the year and this is due to the weaker consumer sentiment in some Asian markets and the impact from bad weather that has impacted our volumes. Based on yesterday’s spot rates, we assume a currency impact on our operating profit of minus DKK300 million, compared to the previous assumption of minus DKK250 million. The change is mainly due to Chinese and Laotian currencies. Financial expenses, excluding FX, are now expected to be around DKK1.2 billion and this is compared to the previous expectations of DKK1.1 billion. The increase is due to the acquisitions, the purchase of the remaining 40% of Carlsberg Marston’s in July, the expected completion in Q4 of the acquisition of the Indian and Nepalese businesses, and the financing costs related to the establishment of bridge financing facilities for Britvic. Assumptions for tax rate and CapEx are unchanged at 21% and around DKK5 billion, respectively. So, with that, back to you, Jacob.
Jacob Aarup-Andersen: Thank you. And Operator, let’s turn to Slide 14. It’s time for Q&A, but before opening up for that, let me just summarize the key messages. First of all, we deliver continued volume growth despite the poor weather in Q2 and the weak consumer sentiment. We reported solid organic operating growth despite a significant increase in sales and marketing investments. As a consequence, we’ve adjusted our full year earnings outlook upwards and we’ve taken major strategic steps that will support the future of Carlsberg. As always, please note that we are going to limit the number of questions to two per person to ensure that as many of you as possible get a chance to get through. You’re welcome to rejoin the queue. With that, let’s go to questions.
Operator: [Operator Instructions] Our first question today comes from Trevor Stirling from Bernstein. Please go ahead with your question.
Trevor Stirling: Good morning, Jacob and Ulrica. Two questions from my side, please. The first one, Jacob, I appreciate you’re not going to guide on line items, but if we look at the shape of the P&L in the second half, I presume we’re looking at, similar to the first half, a strong gross margin expansion with a lot of that being reinvested into A&P and net margins are flattish. And the second, then, really coming back to your comments on San Miguel in the U.K., and you talk about a substantial hit to U.K. profits. Based on what we can work out from global data, it looks like San Miguel is a little bit less than 2 million hectoliter s, and that probably implies that you’re going to be short several hundred million Danish kroner in terms of contribution after A&P and royalties. And I appreciate there’s a lot that you’re going to be doing to try and mitigate that loss, but is that the right way to think about the impact of San Miguel in the U.K.?
Jacob Aarup-Andersen: Hi, Trevor. Thanks for that. Let me start on your first question and then Ulrica can speak to San Miguel. In terms of shape of P&L in the second half, of course, we -- as you know, we don’t guide on intra-year movements, but if you started with the gross margin, we’re pleased with the development of the gross margin in the first half. That improvement, as we laid out in February, it’s a key priority for this management team to drive gross margins back to pre-COVID levels, so above the 48% number from pre-COVID adjusted for Russia. The 160 basis points in the first half, of course, is a very good starting point. I’m not going to guide on gross margin in the second half, but, of course, there is a continued focus on this, but you also know it’s a multiyear journey for us. It’s over the next couple of years that we will be getting gross margin back. There’s some lumpiness around when that comes through, but I think that’s where I can leave it in gross margin. I have been very firmly told not to start guiding on gross margin in the intra-year. The other question was around marketing. The other significant part of the P&L composition in the first half was the significant increase in marketing up to 20%. And we do expect despite the weakness that we’ve seen in certain markets compared to when we started the year, which are, of course, market-related and weather-related, et cetera, we do expect that we still see significant marketing increase this year and that means at least high single-digit marketing increase for the year. That also means you’re going to see a significant marketing spend in the second half. If you look at the comps, though, do remember that we ramped marketing investments quite significantly in the second half last year, so the year-on-year effect is different in the second half versus the first half, but in absolute numbers, it’s going to be a good and full investment in marketing in the second half as well. So, listen, looking at the overall P&L, this is a year where we’re seeing gross margin improvement. We’re seeing significant reinvestment into sales and marketing, basically just like we said we would and that you should expect to continue. On the San Miguel side of things, Ulrica?
Ulrica Fearn: Yes. Thank you, Trevor, and yes, the sort of, of course, volume impact of about 1.8 million hectoliters and the revenue impact of DKK1.4 billion, it will have an impact. We are not disclosing any profit numbers, but of course, that’s partly also because we are working to replace the reluctant volumes through, that could be through our own brands in the well-being category, if that’s Brooklyn or that is Poretti or 1664 from a commercial point of view, but we’re also looking at different cost initiatives, but I can’t be more specific than that at this point in time.
Trevor Stirling: Thank you very much, Jacob and Ulrica.
Jacob Aarup-Andersen: Thanks, Trevor.
Operator: The next question comes from Sanjeet Aujla from UBS. Please, go ahead.
Sanjeet Aujla: Good morning, Jacob and Ulrica. Two from me, please. Firstly, on China, can you just give us a bit more of a feel for what’s happening geographically, how your performance in the core strongholds and the Western Center fares versus the South and the East? And then, secondly, just on COGS, you’re clearly well hedged for this year, but can you just give us a sense of how 2025 is shaping up and how well hedged you are? Thanks.
Jacob Aarup-Andersen: Thank you very much. Why don’t I start on the China question and then, if you want to do the COGS, Ulrica then. On the China side, so we’re not going to be too specific around different regions versus each other, but if you look at the composition of the market development, we are saying that we’re seeing -- in the second quarter, we’re seeing mainstream perform well and premium being more under pressure and we’re seeing within, so you can say in Q1, we had stronger premium growth than mainstream growth. It’s the other way around in the second quarter. Premium is still performing solidly, but you can say within premium, we’re seeing high-end premium people migrating down to more affordable premium brands. That’s also why we’re seeing something like Tuborg doing very well. What that means geographically is also, you can say, part of the, there’s a larger proportion of the market that is on trade when you move to the bigger cities and therefore on trade is also hit harder when we have -- what we’re going through right now, which is both the impact from negative weather, but also the impact from continued [Technical Difficulty] consumers in the more traditional regions versus the big cities. Our big cities are holding up well and we’re seeing continued growth in a number of the strategic focus areas in the big city portfolio, but of course with a higher proportion of on trade in those portfolios, they suffer more when the weather is the way it’s been. So I think it’s more about categories than it’s around regions. Our focus is on making sure that we maintain people within the premium category, but make sure that we give them an affordable premium so they don’t leave the premium category and I think we’ve been succeeding in that in the first half with the 3% volume growth, which is very much driven across our portfolio of brands. Ulrica, over to you.
Ulrica Fearn: Thank you. So some comments on the COGS. I mean, have -- there’s not that much that has moved. We are still seeing the barley and aluminium below where it was in 2023. We’re still seeing the increased sugar, glass, labor, and I could say as well that, conversion costs do remain steaky and energy has had a little bit of a hit in the very, very recent weeks. But overall we are, as you say, now hedged 95% for the main commodities in 2024 and then if I look into 2025, we’re about 50% now hedged in 2025, which basically it’s a fairly large proportion still so following through the markets will have a significant impact on the outcome of 2025 still.
Sanjeet Aujla: Great. And can I just sneak in a quick follow-up on San Miguel? Just given the scale of that hit, at a Group level it’s around 2 percentage points to revenues. Does that impact your 4% to 6% organic revenue growth ambition for 2025?
Jacob Aarup-Andersen: No. So listen, we haven’t been out-adjusting any guidance and I wouldn’t be doing that on this Q&A, so no, we have an unchanged mid-term guidance.
Sanjeet Aujla: Thank you.
Operator: The next question comes from Thomas Lind from Nordea. Please go ahead.
Thomas Lind: Good morning Jacob, Ulrica, Peter. Two questions also from my side here. So first one is maybe just on the guidance upgrade, what exactly is driving the upgrade here? I know you’re saying a bit about the cost control, but I believe that you know June was numbers -- Q2 numbers were a bit hit by bad weather and consumer sentiment. So maybe if you could just, yeah, is it related to the strong July numbers that you have seen in Western Europe or what exactly here is driving the guidance upgrade? And then my second question that would be on the Chinese consumer sentiment that you’re noticing here is not doing great and I was just wondering if you’re seeing a deterioration in Q2 in Chinese consumer sentiment or if it’s mostly related to the poor weather that you’re also stating here. So that would be my two questions. Thank you.
Jacob Aarup-Andersen: Thanks for that. Let me start on China and then Ulrica can speak guidance. So listen, on the consumer sentiment in China we’re not seeing any major change in consumer sentiment and you can see the starting point on that is unfortunately that’s not fantastic news because consumer sentiment in China remains significantly subdued. When you look at the impact we had in June and July from weather that only exacerbated that, and of course, it’s important months so that’s frustrating. We saw significant flooding also in a number of areas, et cetera. So we had that weather impact on top of consumer sentiment but isolated on consumer sentiment we’re not seeing any major change and we don’t see an improvement on the horizon. That’s quite obvious and that will impact the entire market and which we -- will remain subdued. That of course also impacts us. So that’s just what we’re flagging. It’s a continued weak consumer sentiment that is coupled with weak weather in June and also very weak weather in July that has hit the business. So don’t read this as a deterioration but on the other hand we don’t have an improvement on the horizon on China. On the guidance side?
Ulrica Fearn: Yeah. So, a little bit of color on that. So, you’re absolutely right. We did deliver what we believe is solid earnings performance in half one and that was supported by good cost control but also very good performance management as we got through this. So having that behind us we have a better overview of the year and we now have seven months behind us and basically Western Europe is improving in July compared to the week June. So combined put that all together. But also some conservatism into half two where, as Jacob just mentioned, consumer sentiment remains weak in Asia and China, and the consumer sentiment and whether that has had an impact and we need to watch that as we get through half two, but yes we have half a year behind us and looking into another months and that combined with that outlook is what gets us through our 4% to 6% guidance.
Thomas Lind: Very clear. Thank you very much.
Operator: The next question comes from Chris Pitcher from Redburn Atlantic. Please go ahead. Mr. Pitcher your line is open. Maybe you’re still on mute. We still cannot hear you. Maybe you can join back into the queue and we will continue with the next question which comes from Simon Hales from Citi. Please go ahead.
Simon Hales: Thank you. Good morning all. I wonder if we could just sort of follow up a little bit Jacob on your just Q3 trading comments to-date. You provide a bit more color on the volume performance you’ve seen across Western Europe. Any particular markets to call out that have seen a significant sort of change in trend as we’ve moved into the quarter? And when we think about your full year expectations now for Western European volumes in the context of your raised guidance, do you think we could see positive volume growth for the full year in Western Europe? That’s my first question. Maybe just add a little bit on to that around what new as well. You mentioned U.K. volume constraints as well as we headed into Q3 lasting until we get to Christmas season. Any more color you could share there? And then just maybe a quick one for Ulrica around working capital sort of movements. You highlighted the move in the first half. How should we think about working capital moves for H2 and for the full year please?
Jacob Aarup-Andersen: Thank you, Simon. And of course some of the things you’re asking for, yeah, I will be a little bit cautious on giving you too many details on the fiscal as you know. But looking at Q3 you’re right we have stated in Western Europe that we have seen a return of Western Europe in July versus what was a very bad June and you will have heard that from our competitors as well that June was very weak. But July has come back well in Western Europe and it is broad based so I’m not going to single out a country for you. It is broad based across most of our portfolio in Western Europe. We’ve seen a clear bounce back after the very weak June. So which is of course one of the reasons as Ulrica has just said that we have more clarity on year to go beyond just the first half numbers. You asked about full year volumes whether they could be up in Western Europe. Listen, I think they are going to be flattish. Could they be up a bit? Maybe. But I think we are probably around flattish and that would lead to low single-digit revenue growth in Western Europe. Let’s see, don’t kill me if they are up a bit, but I think this give us unfairish. The U.K. specific supply chain issue you mentioned. Listen, it’s -- we just had a supply chain situation where we need to make sure we remedy that. It is not significant from the perspective of the broader group but we just wanted to highlight it in a diligent fashion. It is under control and we’re making sure we’re back on track as quickly as possible. But it could impact supply during parts of Q3, but we’ll definitely, as you say, we will definitely be back for the Christmas season in earnest. But no drama around it. We just wanted to highlight there could be some disruption in Q3. Ulrica over to you on working capital?
Ulrica Fearn: Yeah. Absolutely. And I think it is -- it can be a bit random if you look at total working capital. I think the way to think about it is we clearly continue to optimize trade working capital. And as I mentioned, in half one average trade working capital to revenue on a MAT basis was minus 20.4% which is very much in line with what has been in over a long period of time. So that’s the way to continue to think about it. There are some pressures from a country mix element point of view. That puts a little bit of pressure on that but that’s in general what we’re trying to do and trying to push and mitigate towards the best assumption is to continue to go for that long-term trend.
Simon Hales: Understood. Thank you.
Jacob Aarup-Andersen: Thank you.
Operator: The next question comes from Laurence Whyatt from Barclays. Please go ahead.
Laurence Whyatt: Good morning, Jacob. Good morning, Ulrica. Thanks very much for the questions. Two also for me if that’s okay. Firstly, on India, you should be having control of that business towards the end of the year. Firstly, on the volumes you said you had double-digit volumes in the market. Can we assume that you have got positive price mix there as well and therefore looking at perhaps mid-teen total sales in India. And then, when -- now you got the control -- when you get the control at the end of the year what sort of changes can we expect from that business. I understand you have few brands in the market today. Do you think you would be rolling out a full portfolio or what sort of changes do you think you can make now you’ve got full control? And then my second question on COGS per hectoliter. I think previously you have guided for the year a COGS per hectoliter flattish to low single-digit growth and it came in at negative for the half. Can we then assume for the rest of the year perhaps that full year expectation is little bit lower now and therefore we wouldn’t necessarily expect an increase in COGS per hectoliter for the year. Thank you very much.
Jacob Aarup-Andersen: Thanks, Laurence. Great to speak. Let me start on India. So, yeah, you are right, we do expect to get full control of the business in a couple of months once the process has run its course. You are asking specifically around price mix, I guess, in the market. We are seeing a mid-single positive price mix. Basically, if you look at -- it’s worth give you a bit of color on India. So we are seeing low-teens volume growth and around 20% revenue growth. We see the market up roughly 5% in the same period. The revenue per hectoliter is driven by both price increases and brand mix. The market improvement is -- that we have had is driven by basically free brands which are as you also say we have a quite concentrated brand portfolio. But it is driven by Tuborg Strong, it’s driven by Carlsberg Elephant and to an extent to Tuborg Classic as well. When you look at the volumes we just reported, as I also said in the -- in my opening remarks, we were impacted by dry days in connection with the election and I have to say overall I am pleased with the performance in India where you can say it is very much a state-by-state development as well. Again in the first half here our market development is uneven per state. We had some supply chain disruption due to weather in Maharashtra, but on the other hand we had strong market performance in other states due to the brand performance and premium growth as well. So, it is a constantly moving picture where we are continuing so far to manage to drive share growth. When I look at the strategy which was your main question going forward, it is too early for us to start laying out the strategy for India. Of course, we said it a number of times, it is not going to be a dramatic reversal in our approach to India, but it thus means there is a number of levers that we can start pulling over the coming years that we have not been able to. But we would prefer to open up around that once we have full control of the business when the acquisition has closed. Over to you Ulrica.
Ulrica Fearn: Yes. And thank you, Laurence. I think, yes, we are very pleased with our performance of COGS per hectoliter in the first half. And I will say we do expect COGS per hectoliter to be about flattish for 2024. So that is the short answer.
Laurence Whyatt: Perfect. Thank you very much.
Operator: The next question comes from Søren Samsøe from SEB. Please go ahead.
Søren Samsøe: Good morning, Jacob, Ulrica and Peter. So, two questions from my side. First one is on the free cash flow. Maybe you can go through the sort of what is the normal seasonality in the cash flow and if you assume a normal seasonality where would this year’s cash flow will end up. And then follow-up on Trevor’s question on San Miguel, with the loss of this contract, where do you think that leaves your U.K. beer business? Do you have any other sort of brands that could take over where you could perhaps intensify the effort significantly? Thank you.
Jacob Aarup-Andersen: Hey, Søren. Let me start on U.K. So, Ulrica, alluded to some of it, but from our perspective, of course, San Miguel is a sizable volume that is leaving our portfolio. She also point out, that also why we are working and investing quite hard behind a number of key brands that would take up a good part of that volume. It’s specially, say, Poretti, Brooklyn and 1664 Blanc and especially Blanc is for the longer churn of course and then we are seeing strong growth in market share gains for Carlsberg Danish Pilsner. So there is a number of brands that are relevant here. We don’t see San Miguel be replaced over the coming years from a portfolio of these brands. Our beer portfolio in the U.K. we think remains strong, especially now and combination with Britvic, which will give us a strong proposition -- increase [ph] proposition. And for me it is of course important that we continue to launch and remain relevant in the world beer segment, which San Miguel is part of, but which also Poretti, Brooklyn and 1664 Blanc and it’s a dynamic part of the U.K. market and it is important that we constantly have a strong portfolio there. So that is a big focus for us in terms of investment and resources. Ulrica over to you on the cash flow question?
Ulrica Fearn: Yes. You cut out a little bit. I think it was about how the pacing is and it is -- free cash is impacted by seasonality. So we will expect to see a higher second half than the first.
Søren Samsøe: Okay. Thank you very much.
Jacob Aarup-Andersen: Thank you, Søren.
Operator: Mr. Pitcher is back in the queue. I hope we can hear you. Mr. Pitcher, please go ahead.
Chris Pitcher: Hello. Can you hear me? Good morning.
Jacob Aarup-Andersen: Yes, we can indeed, loud and clear.
Chris Pitcher: Excellent. The telephone system is working now. Can I have a follow-up question on India and the U.K. On India, as part of the transaction, you are withholding quite a substantial amount pending some potential claims. Could you give us a bit more color on what that US$207 million relate to and can these claims in anyway affect the route to control? And then just a very technical point, the very, very small minority in Nepal, does that have any bearing on your ability to operate the business at all or is that now small enough that you can carry on? And then in the U.K., can I just confirm that you have said that the U.K. minority saving would be about 100, i.e., but the 40% in the Marston’s -- Carlsberg Marston’s JV? Thanks.
Jacob Aarup-Andersen: Oh! Thanks, Chris, and good to have you on the line. So, let me do India and Ulrica will do the minorities. So, on India, the US$207 million were for contractual reasons we’re not going to go into the details of that. As you know, we are -- this is a -- this has been a complex negotiation, this has been complex transaction, there’s a lot of moving parts and there’s a number of legal reasons why it ended up being this number and it covers a number of different items and we just -- we simply cannot start going into the details around that. We -- you did ask whether also, so sorry if you were looking for more color, but unfortunately that’s what we can give you. It doesn’t in any way impede our ability to fully control and do whatever we want to do. This is a pure technicality that relates to the transaction itself and it will have no bearing on our ability to run the business, control the business, own the business, so we can leave that to the side. On the Nepal minority, no that’s -- will have no -- it will also have no impact going forward. It’s a pure financial thing. There’s no operational control or impact on the business. So, it is clean transactions once they’re closed and these things that you’re highlighting, they’re pure financial matters. Over to you Ulrica on the U.K. minority.
Ulrica Fearn: Very short answer on this one and just a confirmation, yes, Chris, that’s the right assumption we had expressed it to be about 100 for 2024.
Chris Pitcher: Very good. And that includes the San Miguel profit. So your -- it just get 100.
Ulrica Fearn: That is our expectation, yes.
Chris Pitcher: Thank you very much, Ulrica.
Jacob Aarup-Andersen: Thank you.
Operator: The next question comes from Gen Cross from BNP. Please go ahead.
Gen Cross: Good morning and thank you for the questions. Just a couple of actually just couple of small technical ones for me. You mentioned the loss of the Schweppes license in Switzerland impacting your Western Europe other beverage volumes. I just wondered if you could give us some color on how big that impact is and I think you expect that to continue into Q3, Q4? And the second question is actually again on minorities, because I think, you pay higher than most people expecting in H1. I know you have given a bit of color on the impact of the CBC minority just. Are you able to give us any quantification of what you expect for the full year on that line. Thank you.
Jacob Aarup-Andersen: Thanks for that. Listen, Schweppes, it is from an enterprise perspective it is a small impact and you are going to see it cycle out now of the numbers as we move into the second half. And the effect started in the second half last year, so you are going to see a smaller impact in Q3 and it’s going to cycle out of the end of the year. So, it is small numbers. But when you look at the percentage movements in the quarter and half year within soft drinks, of course, it has an impact. But in the grand scheme of things it is quite small numbers and it will cycle out now from the -- during the second half. Ulrica on the minorities?
Ulrica Fearn: On the minorities. Yeah, there is a small increase and it is related to Lao, but it also related to Marston’s what is in there for the half year and as I said, that will clearly move out and that will be the 100 we talked about for 2024. For the rest of it we don’t give an outlook for the full year more than that, but that will be the mechanics as we move forward.
Gen Cross: Great. Thank you very much.
Operator: [Operator Instructions] The next question comes from André Thormann from Danske Bank. Please go ahead.
André Thormann: Yes. Thank you for taking my question and hi all. So I have two. The first one is just regarding China and I wonder if you can help me with the numbers for the second quarter. So what was volume growth and revenue growth for Q2 in China? And the second thing is regarding guidance. So, my impression at least until now was that organic EBIT growth should be higher in the second half partly due to the better comps on marketing and now you grew 4.7% in the first half and you guide 4% to 6% for the full year. So implied almost the same in the second half. So, am I missing anything here or shouldn’t organic EBIT growth be higher in the second half? Thank you.
Jacob Aarup-Andersen: Hi, André. A bit topline but I think we got the questions. On China in Q2 and you will also be seeing that when the Chinese accounts will be coming out. Volume is up 1% which gives you the 3% on the half year and revenue is down a percent and so we are seeing a negative price mix in Q2 which is not driven by price but it’s driven by mix. It is driven by the fact that we are seeing some trading -- down trading from high end premium to affordable premium and we are seeing more strength in the mainstream portfolio versus the premium portfolio. So, a small negative impact there and I could -- so the plus 1 and minus 1 impact on China. On the guidance, listen, we have given you a 4% to 6% range. It is correct we did 4.7% in the first half and as we look into the second half, there are many moving parts, I think, Ulrica, went through them before. In terms of what you asked specifically what would pull things down I think there are well known pressures that we are talking about here, Asia and specifically China continues to be a tough environment. At the same time, we are seeing with confidence that Western Europe has come back after a tough June. So there is a lot of moving parts here. We think 4% to 6% is a good range to reflect what we are looking into, and of course, there will be many moving parts into that.
André Thormann: Thank you so much.
Operator: Ladies and gentlemen, that was the last question and I would like to hand back for closing comments.
Jacob Aarup-Andersen: Thank you very much, Operator. And thanks to everyone for their great questions as always. You know our IR team is sitting ready at the phones waiting for further detailed questions. They love that. So please reach out to them. Otherwise looking forward to speaking to many of you over the next couple of day. Until then have a great day. Thank you.